Operator: Good morning, ladies and gentlemen, and welcome to the SECURE Waste Infrastructure Corp. Q4 2024 Results Conference Call. At this time, all lines are in listen only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. This call is being recorded on Friday, February 21, 2025. I would now like to turn the conference over to Alison Prokop. Please go ahead.
Alison Prokop: Thank you and good morning to everyone who is listening to the call. Welcome to SECURE's conference call for the fourth quarter of 2024. Joining me on the call today is Allen Gransch, our President and Chief Executive Officer; Chad Magus, our Chief Financial Officer; and Corey Higham, our Chief Operating Officer. During the call today, we will be making forward-looking statements related to future performance, and we will refer to certain financial measures and ratios that do not have any standardized meanings prescribed by GAAP and may not be comparable to similar financial measures or ratio disclosed by other companies. The forward-looking statements reflect the current views of SECURE with respect to future events and are based on certain key expectations and assumptions considered reasonable by SECURE. Since forward-looking information addresses future events and conditions, by their very nature, they involve inherent assumptions, risks and uncertainties, and actual results could differ materially from those anticipated due to numerous factors and risks. Please refer to our continuous disclosure documents available on SEDAR+ as they identify risk factors applicable to SECURE, factors that may cause actual results to materially from any forward-looking statements and identify and define our non-GAAP measures. Today, we will review our financial and operational results for the 3 and 12 months ended December 31, 2024. I will now turn the call over to Allen.
Allen Gransch: Thanks, Alison. Good morning and thank you for joining today's call. 2024 was an outstanding year for SECURE. We executed on our strategic priorities, invested in our business and delivered significant returns for our shareholders while providing reliable, cost-effective and safe solutions for our customers' waste and energy needs. This year, we solidified our position as a leading waste management and energy infrastructure company, culminating in our name change to SECURE Waste Infrastructure Corp. on Jan 1, 2025. This change reflects our essential role in processing, recovery, recycling and disposal across our diverse waste streams alongside the efficient operation of our infrastructure network. Our identity is now fully aligned with our long-term strategy and critical services we provide. We began the year with a transformative transaction, generating $1.15 billion in cash proceeds from the mandated sale of 29 facilities formerly owned by Tervita Corporation. This strengthened our balance sheet, reduced leverage and funded a substantial share buyback program. In 2024, we repurchased 57.3 million common shares at an average price of $11.47 per share, reducing our total shares outstanding by 19%. This strategic allocation of capital improved per share performance and enhanced long-term value for shareholders. Additionally, we returned $104 million to shareholders through dividends, reflecting a quarterly dividend of $0.10 per share, which provides an attractive yield of 2.7% based on our current share price. We also delivered strong financial results in 2024 with adjusted EBITDA reaching $490 million, the top end of our guidance after increasing it in the second quarter of 2024. Despite having approximately 27% of our business, adjusted EBITDA declined only 17% year-over-year, demonstrating strong demand, solid execution, and the resilience of our business model. Our adjusted EBITDA margin averaged 35% of revenue, excluding oil purchased and resold in the year, reflecting the efficiency of our long-life assets, high utilization, strong pricing and disciplined cost management. We maintained industry-leading adjusted EBITDA to discretionary free cash flow conversion, supported by low sustaining capital, debt service and a favorable tax position. This resulted in $316 million of discretionary free cash flow at an impressive 64% conversion rate, which we reinvested in high-value growth projects, share buybacks and dividends, all while maintaining a strong balance sheet. Alongside these strong financial results, we invested $100 million in growth initiatives focused on critical infrastructure projects that support the safe and efficient handling of production-related waste and energy volumes. These investments enhance our networks' capacity while ensuring reoccurring long-term cash flows backed by commercial agreements. Key highlights include: completion of the initial expansion of our Clearwater heavy oil terminal, which more than doubled the capacity at the terminal, enhancing our ability to serve customers in the region. Phase 3 is now underway to further increase our capacity and processing capabilities. Our operations are expected to begin here in March; growth of our Montney water pipeline system, adding two pipeline connections to existing infrastructure and commencing construction of a new facility to support increasing volumes in the region. A strategic tuck-in acquisition in our metal recycling business in the second quarter, expanding our network into the Saskatchewan area and diversifying our supply base, strengthening our ability to capture value across evolving waste markets. And finally, an investment in 50 new railcars, enhancing our metal recycling logistics capabilities. On January 31, 2025, we closed the acquisition of an Edmonton-based metal recycling business. This acquisition expands our scale and processing capabilities while creating significant synergies with our existing operations. Establishing a new hub in Edmonton strengthens our metal recycling network through the vertical integration of a mega shredder and greater diversification of scrap supply, increasing exposure to residential and industrial waste streams. In total, we expect our recycling business -- our metals recycling business to contribute approximately 10% of our overall 2025 adjusted EBITDA before corporate costs. We continue due diligence on our second previously announced acquisition of approximately $18 million. And while closing was initially expected in Q1, we now anticipate it may take a little longer to finalize, and we'll provide an update with the release of our first quarter results at the beginning of May. Looking ahead to 2025, we expect to generate $510 million to $540 million in adjusted EBITDA, representing a 10% increase at the midpoint from 2024 pro forma results. The increase is expected to be driven by contributions from our recent metal recycling acquisition, assets placed into service in 2024 and planned organic growth projects for 2025 and higher volumes driven by production growth and pricing across our existing infrastructure. Following the Metals acquisition, our total debt-to-EBITDA ratio, excluding leases, stands at approximately 1.1x, well below our targeted range of 2x to 2.5x, giving us significant financial flexibility. Combined with expected 2025 discretionary free cash flow of $270 million to $300 million, we are well positioned to pursue further growth opportunities while maintaining strong shareholder returns. Before I turn the call over to Chad, I want to thank our entire SECURE team. It's the dedication and commitment of our incredible employees that drive our success. As we move forward, we are excited about the opportunities ahead and remain committed to delivering long-term value for all of our stakeholders. I'll now turn it over to Chad.
Chad Magus: Thanks, Allen, and good morning, everyone. Our fourth quarter financial results continue to highlight the strength and stability inherent in our infrastructure-based business model and the benefits of our disciplined capital allocation strategy. The divestiture of 29 facilities to Waste Connections in early 2024 and the sale of the noncore oilfield service business in late 2023 naturally impacted our year-over-year financial metrics. However, strong customer demand, pricing increases and contributions from our 2023 and 2024 capital investments helps mitigate these effects. Strategic share buybacks over the past year reduced our weighted average shares outstanding by 18% in the fourth quarter, enhancing financial metrics on a per share basis and reinforcing the value of our capital return strategy. Net revenue for Q4 was $332 million, down 26% year-over-year primarily due to divestitures. Excluding the divestments, revenue was relatively flat year-over-year, supported by the ramp-up of the Clearwater heavy oil terminal and higher pricing at retaining facilities. However, these positive impacts were partially offset by earlier-than-normal activity slowdowns before the holidays. On an annual pro forma basis, revenue increased approximately 11% due to the addition of the Clearwater heavy oil terminal and increased volumes and pricing in the Waste Management segment. Adjusted EBITDA for Q4 was $117 million, reflecting a 35% margin, consistent or average for all of 2024. While absolute -- adjusted EBITDA declined 28% due to asset sales, on a per share basis, it was down just 11%, demonstrating the benefits of our buyback program. Net income for Q4 was up $34 million was down 42% from last year primarily due to lower operating profit resulting from the divestitures. The decrease was partially offset by lower interest accretion and financing costs after using proceeds from asset sales to reduce debt. Funds flow from operations of $106 million decreased 17% compared to the fourth quarter of 2023 due to lower adjusted EBITDA, partially offset by reduced interest costs resulting from lower debt levels and the timing of fixed debt payments. However, thanks to share buybacks, fund flow from operations per basic share increased 2% to $0.45. Discretionary free cash flow was $80 million, supporting ongoing investments in capture. Despite a 17% decrease from prior year on a per share basis, discretionary free cash flow was up 3% to $0.34. At December 31, 2024, in addition to our $300 million in fixed debt, we had drawn $46 million on our $800 million revolving credit facility, leaving us with significant capacity and ample liquidity. Following the metals recycling acquisition, which recently closed on January 31, our total debt-to-EBITDA ratio increased from 1x to 1.3x or 1.1x excluding leases. SECURE is well positioned to fund future growth initiatives, continue returning value to shareholders and maintaining maximum financial flexibility for capital allocation in the years ahead. With that, I'll pass over to Corey to discuss our operational highlights.
Corey Higham: Thanks, Chad. Our team delivered consistent performance across our facility network in the fourth quarter, ensuring the safe processing, recycling and disposal of waste and efficient transportation of oil. At our waste processing facilities, we processed 97,000 barrels per day of produced water and 41,000 barrels per day of slurry and emulsion.
--: Landfill disposal volumes remain strong with 835,000 tons safely contained across our 12 locations in the fourth quarter. On an annual basis, landfill volumes were up approximately 20% in 2024 over 2023 pro forma as we saw a significant uptake in reclamation and remediation project volumes. In the Energy Infrastructure segment, fourth quarter terminalling and pipeline volumes averaged 130,000 barrels per day. For the year, terminalling and pipeline volumes were up 30% in 2024 over 2023 pro forma due to the Clearwater asset, which came into service in October 2023. Turning now to our capital program. We incurred $72 million of sustaining capital for the year, above our guidance of $60 million as we expanded our asset integrity and program related to well and facility improvements at waste processing facilities and upgraded equipment at our metal recycling and waste service operations. In 2025, we continue to expect to spend $85 million of sustaining capital with increase over 2024 largely related to the construction of additional landfill cells to support higher activity levels. In 2024, we spent $62 million of our $75 million growth capital program. The variance of $13 million is due to timing differences and is expected to be carried forward into 2025, bringing our total 2025 growth capital program up to approximately $85 million, which we'll focus on expanding the processing and disposal capacity of our water infrastructure network in the Alberta, Montney region to accommodate growing producer volumes with a new pipeline connected water disposal facility and expansions of the existing network with the addition of new pipelines and a disposal well. The new facility is expected to be operational in the fourth quarter of 2025 with existing facility expansions service target -- date targeted for early 2026. Completing the Phase 3 expansion of the Clearwater heavy oil terminal and gathering infrastructure for incremental clean heavy oil delivery and adding treating capabilities for truck and emulsion volumes. Following the expansion, the terminal will have a total capacity of 75,000 barrels per day; reopening a suspended industrial waste processing facility located in Alberta's Industrial Heartland to global demand. Capital expenditures are underway and include replacing and upgrading critical infrastructure to increase capacity and allow for broader industrial waste acceptance and treatment, which is expected to occur in the second quarter of 2025. Purchasing incremental railcars, bringing secure fleet of approximately 200 railcars and increasing the efficiency of our metals recycling logistics and distribution operations, and lastly, optimizing our waste infrastructure network to debottleneck, increase throughput, achieve cost savings and drive higher adjusted EBITDA from same-store sales. All major growth projects are backed by commercial agreements, ensuring reliable volumes and recurring cash flows. We also have a robust pipeline of brownfield expansions to greenfield developments, regions where production growth is outpacing available processing and disposal capacity. Future investments will be secured by long-term contracts that deliver stable cash flows and strong returns. Our commitment to environmental stewardship and operational excellence aligns with our strategic purpose, transforming waste into value. We continue to provide solutions that help our customers manage environmental liabilities, reduce costs and create opportunities for resource recovery and reuse. We had strong egress across our ESG objectives in 2024 and with organizational value to do the right thing for employees, customers, communities and the environment guiding our decisions. Safety remains our top priority, and we successfully advanced many safety initiatives that are improving an already strong safety culture across our business units. We have exceeded our objective established in 2021 of reducing greenhouse gas emission intensity by 15% over a three-year period with significant progress in reducing Scope 1 and 2 emissions since 2021 through energy conservation programs. We achieved a 6% reduction in water use over the prior year, and we've also established or renewed key indigenous partnerships, building on our pillars of community engagement, employee and capacity building and economic inclusion. We look forward to providing you with a comprehensive update on our progress of our ESG objectives in our 2024 sustainability report in the second quarter of this year. I'll now pass it back to Allen for closing remarks.
Allen Gransch: Thanks, Corey. SECURE continues to make meaningful progress in delivering our strategy as a leader in specialized waste management and energy infrastructure solutions. In 2024, we delivered strong financial results, enhanced shareholder value, and made strategic investments that position us for long-term growth. Looking ahead, we see multiple opportunities to build on this momentum. In 2025, we remain focused on executing our strategy, leveraging our infrastructure network to support growing demand for our customers while maintaining a disciplined approach to capital allocation. The dialogue with the implementation of U.S. tariffs, including tariffs on imported steel and aluminum and upcoming tariffs on oil and gas. Regarding the impact to SECURE, it is important to note that recycled scrap steel is exempt from these tariffs and if upheld could actually benefit our metal recycling business. Historically, similar tariffs have led to increased demand for scrap metal. We anticipate a similar market response, potentially driving up scrap metal pricing and creating a favorable environment for our metals recycling business. Our oil and gas customers will be impacted by the tariffs. However, we expect the impact on SECURE waste and oil volumes to be insignificant. We believe the current market fundamentals, strong producer balance sheets, a favorable commodity price environment and a weaker Canadian dollar offsetting some tariff-related costs will sustain activity levels and production growth. However, broader shift in upstream activity could influence waste and energy volumes over time, depending on further increases to tariffs, if they are implemented. As U.S. refiners are heavily dependent on Canadian crude, particularly in PADD 2, where there are no viable alternatives to heavy crude feedstock, the long-term feasibility of these tariffs remain uncertain. Political and economic factors may drive policy adjustments, including exemptions or retaliatory measures from Canada. Despite the volatility and trade policy discussions, SECURE is well positioned to navigate these shifts. And at this time, it does not result in any changes to our 2025 guidance, where we provided a range of EBITDA of $510 million to $540 million. Our Energy Infrastructure is supported by take-or-pay contracts, and we continue to see reoccurring waste volumes and demand for our Waste Management solutions. We remain confident in our ability to adapt to changing market conditions while continuing to deliver to our customers and our shareholders. In 2025, we expect to maintain industry-leading margins and a stable cash flow profile underpinned by the reoccurring waste volumes across industrials, metals and energy markets. With a strong balance sheet, ample liquidity and leverage of approximately 1.1x to adjusted EBITDA, we are well positioned to capitalize on growth opportunities while continuing to deliver on enhanced shareholder returns. Our capital allocation priorities for 2025 include: executing on our $85 million organic growth capital program and $85 million in our sustaining capital program, maximizing shareholder returns through opportunistic share repurchases, and our industry-leading dividend. In December 2024, we renewed our NCIB, allowing us to purchase up to 19 million common shares, approximately 8% of our outstanding shares in 2025. At our current share price, this represents approximately $290 million in potential buybacks during the year. To date, we have already repurchased 4.2 million shares for a total of $65 million as management and the Board continue to maintain the shares the Company are undervalued, and these repurchases support that conviction. Paying our $0.10 per share quarterly dividend equal to approximately $94 million in 2025 based on our share count as at December 31, 2024 and maintaining financial flexibility to pursue additional high-return opportunities while staying below our target leverage range. We have a robust pipeline of organic growth opportunities, and we will evaluate additional strategic acquisitions that an efficiency, network density and waste stream diversification. SECURE remains committed to being the leader in waste management and energy infrastructure, prioritizing value creation for our customers through reliable, safe and environmentally responsible infrastructure. With a clear strategy, a strong balance sheet and a committed commitment to disciplined growth, SECURE is well positioned to drive long-term value. We appreciate your continued support and look forward to delivering on our commitments in 2025 and beyond. That concludes our prepared remarks. Operator, we're now happy to take questions.
Operator: [Operator Instructions] The first question comes from Konark Gupta of Scotiabank. Please go ahead.
Konark Gupta: I wanted to dig into the metal recycling business here, if you can help us understand. The Edmonton shredder you purchased, obviously, vertically integrates you. But in terms of synergies and integration, what's your expectation there? Like how should the process unfold? Is this going to take a six months' time line or it's more like a one-year process? And what kind of synergies are you expecting?
Allen Gransch: Konark, thanks for the question. Yes, so we're very excited that we closed the acquisition in Edmonton. It's pretty key to our strategy. When you think about it, think of it as Edmonton being the hub and with the mega shredder, the ultimate goal here is to increase the volume and throughput of that shredder because you get synergies with operating margins by processing it through a piece of equipment versus trying to process it with different types of equipment or manual labor. And so having that central hub, our plan here is to integrate our other locations. So, we have 10 other metal recycling locations throughout Western Canada. And some of those locations will feed into Edmonton, where we can process it more efficiently, get more volume through this shredder. So, there will be synergies associated with that. We have also been buying a number of railcars. These new railcars are 30% more efficient when you think about transportation. The older cars didn't hold as much. These are a lot higher and paying the same fees. So, we are going to get transportation savings. As well, we're looking at getting opportunities to consult are -- basically consolidate different types of grades, where if we can put all grade 1 aluminum at one car, we're going to get all grade 1 pricing. So, there's going to be synergies in and the value that we're getting because with commingled grades, you typically get the lower grade. We're very pleased to hear that scrap metal won't be subject to tariffs. That's huge for our business. We've been talking for a long time that these electric furnaces that only take scrap material is a growing market, and we see growing demand. And so, as we have the foundation here for locations to feed into Edmonton, we think there's going to be a huge value proposition associated with it. So quite excited. That was a key component of our metal recycling strategy. I think we were in a unique spot to be able to consolidate some of these locations that we thought were key. And so, as I think about it through 2025, we want to integrate. We've got to get what I would consider a run rate synergy. Typically, they take 12 months-plus to get your full synergy utilization. So, when we announced in early December that we were looking to close this in Q1, we already factored that into our guidance for 2025, but we're also going to get some benefit of this into 2026. And so, when we put out 2026 guidance, you'll see that full run rate looks like, but we've already factored it into the guidance.
Konark Gupta: That's great color. On the tank side, so if you can make up to speed on how things have evolved historically. As you said, the scrap metal prices can go up. Your business today, after this latest acquisition, if you look at the sensitivity due to price changes, how should we think about it? And are you more sort of like a mix of U.S. dollar and Canadian dollar on the metal recycling side? Or it's all Canadian dollar?
Allen Gransch: Yes. So first of all, on commodity price, so typically, what happens when scrap metal comes into our locations, they're paid a spot price based on the volume and the current price in the market at that point in time. Our goal here is not to take commodity risk. We want to turn our inventory at least a minimum of 12x a year. So basically, you're turning inventory every month. And really why you want to do that is because typically when it comes across the scale and you pay the price, you know how long it takes you to process and the cost to process, and then you want to sell it within that month not to take any commodity price risk. So, you can get some fluctuations in a bit of supply and demand as the price moves, but we're not trying to take any of that commodity risk. When it comes to FX, I mean we do have oil that trades in WTI in the U.S. function. We look to offset that through foreign currency hedging to make sure that we don't have exposure on the FX side. So, I think we're protected on both fronts. I think from our perspective, getting the volumes into Edmonton to get this processed more efficiently, it's really about just making sure we can turn that inventory very, very quickly because we just want to get that processing charge. That's what we like.
Konark Gupta: Understood. And last one before I turn over. You talked about more potential M&A opportunity. Is it fair to expect that these opportunities are currently only confined to the metal recycling? Or could there be other avenues you're exploring within the waste spectrum?
Allen Gransch: Yes. There's a few other metal opportunities that we want to look at. I think we obviously want to make sure that it's the right value for us when we integrate it into our network. So, there is some additional ones we continue to look at. I think when you look at our leverage, and we talked about the 1x right now and our goal being 2x to 2.5x, there are other waste opportunities outside the metals that are available and are coming to market that we're taking a look at. And I think anytime you look at M&A and you get more knowledgeable about how that business works, how it could integrate into your own business, what kind of synergies you can get, and so we are continuing to look at waste opportunities that come into the marketplace. And if they meet our economic hurdle thresholds, if they -- if we feel like it's poor competencies, we can add value, add synergies to it, yes, of course, we're going to look at it. I think we've been very clear on our metal recycling strategy, and we'll continue to kind of pursue that. We want to make sure to -- we just absorbed a very big one. This is 170 employees. We want to make sure that integration was very, very smooth and make sure that's right in the way we want before we continue to add more to it. But I would say in general that there are M&A opportunities that are coming at us every week that we'll look at, nothing of substantial size here. I think I would call everything we see as more tuck-ins. And that's what we like right now. I think that's good value for us.
Operator: The next question comes from Patrick Kenny at National Bank Financial. Please go ahead.
Patrick Kenny: Sorry, just back on the Edmonton acquisition and apologies, if I missed it, but now that you've closed it, any clarity on the EBITDA or free cash flow multiple paid for the business? And then, I guess, pro forma the realized synergies to come, how that transaction multiple might look on a run rate basis as well?
Allen Gransch: Yes. Patrick, I think we've been pretty clear throughout as we've been looking at this market and kind of a roll-up strategy in terms of some opportunities to increase some of these feeder yards into the kind of a central location that whatever we were going to acquire was going to be accretive. So, you can take the -- because it isn't material. And obviously, I've talked about wanting to do more. But I would say it's accretive to where we are trading today. I think when you think about rural opportunities in smaller markets, they typically would have a slightly lower multiple than you would get in a large municipal area like Edmonton in the industrial heartland, where it has a lot more activity, a lot more consistent residential, industrial markets that are feeding into that. You pay a higher value for us. So, what I can tell you is accretive to where we're trading currently, very happy, very pleased to get it done. I think it's going to be a fantastic opportunity for us to leverage all these yards into creating a very efficient metal recycling business. So, I'll leave it there. I think we put this, as I said, in our guidance here for 2025. And as we get through synergies and run rate into 2026, we'll give you more clarity as time progresses here.
Patrick Kenny: Got it. And then maybe just on the margin front for the base business. So still quite healthy at 35% EBITDA margins in the quarter, but they have been higher in the past. So, I'm just curious if you could point us towards any specific initiatives that might be underway either on the cost structure side or perhaps the commercial side that might generate another few points of margin, say, by this time next year.
Allen Gransch: Yes. I think when we look at some of our capital projects, when we're doing capital projects such as pipelines, they are more capital-intensive. And because they're a high, capital-intensive infrastructure, you typically get higher operating margins. So, a bit of it is mix-related. So, if we're doing more sort of pipeline investments, when you add in the waste processing facility, those are great margins as well. But I think in general, we see 2024-2025 being very consistent at 34%. 35% on averaging, we have those assets a period of time in Q1 of last year. So, we brought it up to 35% on average. But what I will state is that look at our margins compared to our peers that we're compared against and when you look at it from an EBITDA margin, we're number one on adjusted EBITDA margin at 34% or 35%. So, we're more associated with infrastructure, with volumes coming to our facilities that are critical in these locations. When you look at our -- I'm very pleased with our revenue. Our revenue was up 11% on a pro forma basis, which is a combination of our same-store sales growth that we've talked about in the past. We've got organic new organic capital that we spent that's driving more volumes and then obviously the M&A. So very pleased with the revenue growth. That will put us up on the high end of the range. Our free cash flow conversion is the best of our peers at over 60%. And when we look at what we've been doing recently, which is we've been buying back our stock aggressively, I mean, if you go back a year from now, a year ago, we sold those 29 locations to Waste Connections at a trailing 7.5x, and, here we are today trading below that market. And that's a third-party participant paying that valuation in a distressed sale through a regulatory competition bureau divestment. And so, we have a high conviction here to continue to buy back our stock from a capital allocation perspective. And so, you're going to see us kind of focus on where is the best return for our shareholders as we look through our capital allocation priorities on buybacks, on our stock, on organic growth and then on the M&A that we talked about.
Patrick Kenny: Okay. That's great. And then just lastly for me, back on your comments surrounding tariffs. So far, I mean, the strong rig count remains pretty well unaffected, and there's also been some additional consolidation within the E&P space over the past few months. So, I'm just curious how some of these acquisitions by customers, assuming a 10% tariff has a de minimis impact on activity itself, how this consolidate might bias your outlook for either business development opportunities or just throughput itself?
Allen Gransch: Yes. I think when you look at the tariffs and the impact on our oil and gas customers, I think there's been lots of analysis, whether it was going to be a 25%, whether it's going to be a 10% impact. I think -- and I've heard varying degrees of some of that tariff increase is going to be borne by the producer, maybe 30%, some by the refiner in the U.S., and then ultimately, the consumer, so 1/3, 1/3, 1/3, 50-50. But I think when you start you start looking at it from a producer perspective, the heavy differential widens out of $2 or $3. They're getting less from the perspective of the widening differential. However, what we saw early February was a weaker Canadian dollar on the back of the tariffs. And so, because they're selling in WTI in U.S. dollars, they're getting the benefit of higher cash flow from a weaker Canadian dollar. So, it's a bit of an offset. So, some of the ranges I've seen from an impact on cash flow from our customers is in that 3% to 5%. And I think they'll make their own capital allocation decisions, whether it's buybacks, whether it's dividends on -- but their balance sheets are great. I think we haven't heard on any of our customers than pulling back on what they'd want to do from a drilling and completion standpoint. They're getting very good at setting their budgets and ratably doing it every month throughout the year. So, I don't think where we're seeing the tariffs today is going to change course in that, which is why we have strong conviction in the volumes that are going to come to the facility. In terms of consolidation, we've seen that over the past few years, and I think it makes these producers more efficient. I think any time we're talking about outsourcing or partnering up with our customers, I mean, from our perspective, we try to get that utilization of any infrastructure right to the max level day one because that's going to be the best way, you're going to get your IRRs right out of the gate. And so, I think each consolidation and each producer has to look at their own internal infrastructure and say, "Where is my utilization? Does it make sense for me to deploy that capital? Or do I outsource it to a company like SECURE where we can partner up with multiple customers to make it efficient for everybody?" And I think that's been the mindset from a lot of our customers is, "Hey, let's partner up. I think this is an efficient way to use capital." And we can sign agreements accordingly. So, I think on both those fronts, I think it's going to be a positive outcome for us and the business in 2025.
Operator: [Operator Instructions] The next question comes from Arthur Nagorny at RBC. Please go ahead.
Arthur Nagorny: Just on the topic of tariffs, I appreciate the color you gave, but circling back, I guess, to the metals recycling business. Can you share what percent of sales go to the U.S.? And assuming scrap steel does get impacted by tariffs, what is your ability to pivot this volume to Canadian customers?
Allen Gransch: Arthur, yes, so if you think about scrap, we sell a pretty significant portion of our scrap actually in Canada. There are a couple of markets that we direct sell to. We also have the opportunity to sell scrap to international markets. We do that through a couple of ports, and we have that lever to pull if we thought that scrap metal is going to be impacted. But when you look at the need for scrap metal in the U.S. market, it's not dissimilar to oil where their operations are outfitted to accept scrap material. They're going to want to get from the closest location, which is our neighboring border here. So, we think that, that demand will be there. I think that's why they exempted scrap metal specifically because they know that these mills need that material to run their businesses and be competitive in the U.S. marketplace. So, we do have that benefit. And of course, that can change depending on what happens long term here. But I'd say we have levers to direct more to Canada to go to international markets as well. But right now, we're seeing pretty strong demand from the U.S. market.
Arthur Nagorny: Got it. And then on the Edmonton acquisition, can you share what percent of the scrap supply mix comes from residential and industrial markets? And how does this change the overall mix of the entire metals recycling business?
Allen Gransch: Arthur, it's great. With respect to the sort of supply mix into Edmonton, it would be probably 75% industrial, 25% residential.
Arthur Nagorny: Got it. And then I appreciate you're still doing due diligence on the other metals recycling acquisition. But assuming that one does go through, what would you say is the dollar opportunity that's left, I guess, with M&A in the metals recycling space going forward? I think you've previously outlined $200 million to $300 million, and you've kind of mentioned you're focusing on tuck-ins going forward. But just wondering if you can outline the dollar opportunity there?
Allen Gransch: Yes. Maybe this was a very large one and a very critical one to get complete here in Edmonton. I would say, the Hopper is probably $100 million-plus remaining that I think we're going to take our time with. We just want to make sure you've got the kind of the hub and spoke and the operations and the integration running very smooth as we roll off a couple of more locations. So, I'll give you that. That's probably our target specific to this sector.
Arthur Nagorny: All right. And then last one for me. I guess just on the growth CapEx guide, can you share the expected timing of the earnings contribution from those investments, I guess, just over the course of the year?
Allen Gransch: Yes. So, I think when we look at Clearwater, we've got our final phase going through here. We knew it was going to be kind of into January into February. We're kind of maxed out with our -- that pipeline capacity from Nipisi. And so, we're going to get to 75,000. It's going to come online here. And so that $10 million will be in -- complete and be operational. So, it's included in our guidance from April 1 to the end of the year. So, we've already factored that in. When you look at the 75,000 that we want to spend this year, most of it is going to contribute into 2026 because time we get the disposal wells drilled, get the infrastructure in place and get everything operational commission, it's going to be kind of that late 2025, early 2026. Redwater, we're looking at that coming online here in May, June, kind of call it the end of Q2. So, it will have some contribution as well. But we've factored that into the guidance just to make it easier for everyone as they think about where our numbers could come in for the year.
Arthur Nagorny: And then actually, if I can just squeeze in one last one here, just on the adjusted EBITDA guide. Obviously, a couple of moving pieces in there. But can you share your expectations for same-store sales growth? And were there any sort of more one-off items that happened in 2024, like maybe TMX, that you're not factoring in for 2025?
Chad Magus: With respect to onetime items, just earlier in the year, we had some storage opportunities that we highlighted that we've got the benefit of in Q1 and Q2. And then obviously, we had one month of contribution from the 29 facilities will that happen in Q1. So obviously, when we speak to the $490 million, it had the benefit of that. And so, if you deduct for those items, your starting point is a little bit lower than the $490 million as you build into to $510 million to $540 million. With respect to same-store sales, we're assuming 3% volume growth. We've talked about pricing increases in the past. Now there's certain service lines where we're able to increase prices. That's not across the board, but it's the majority of our service lines within Waste Management.
Operator: Thank you. There are no further questions. I will turn the call back over to Allen Gransch for closing comments.
Allen Gransch: Well, thanks, everyone, for being on the conference call today. A taped broadcast of this call will be available on SECURE's website, and we look forward to providing you with updates on SECURE's first quarter results on May 1. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.